Operator: Good morning and welcome to the Voya Financial Fourth Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Darin Arita, Senior Vice President of Investor Relations. Please go ahead.
Darin Arita: Thank you, Rocco, and good morning, everyone. Welcome to Voya Financial’s fourth quarter 2016 conference call. A slide presentation for this call is available on our website at investors.voya.com or via the webcast. Turning to Slide 2; on today’s call, we will be making forward-looking statements. Except with respect to historical information, statements made in this conference call constitute forward-looking statements within the meaning of federal securities laws, including statements relating to trends in the Company’s operations and financial results, and the business and their products of the company and its subsidiary. Voya Financial’s actual results may differ materially from the results anticipated in the forward-looking statements as a result of risks and uncertainties, including those from time-to-time in Voya Financial’s filings with the U.S. Securities and Exchange Commission. Slide 2 also notes that the call today includes non-GAAP financial measures. In particular, all references on this call to ROE, return on equity; ROC, return on capital; or other measures containing those terms are to ongoing business adjusted operating return on equity or return on capital as applicable, which are each non-GAAP financial measures. An explanation of how we calculate these and other non-GAAP financial measures and reconciliation to the most directly comparable GAAP measures can be found in the press release and quarterly investors supplement available on our website at investors.voya.com. Joining me this morning on the call are Rod Martin, Voya Financial’s Chairman and Chief Executive Officer; Alain Karaoglan, Voya Financial’s Chief Operating Officer and Mike Smith, Voya Financial’s Chief Financial Officer. After their prepared remarks, we will take your questions. Also here with us today to participate in the Q&A session are other senior members of management; Charlie Nelson, Chief Executive Officer of Retirement; Christine Hurtsellers, Chief Executive Officer of Investment Management and Carolyn Johnson, Chief Executive Officer of Annuities and Individual Life. With that, let’s go to Slide 3, and I will turn the call over to Rod.
Rodney Martin: Good morning. My apologies, I have a bit of a learn Geordies, I appreciate your patience. That said; I’m eager to share our progress on our plans. Let's begin on Slide 4 with some key themes. During 2016, we continued to execute on our plans to improve our ROE and better position Voya to meet our customer needs. We increased our ROE to 12.3% at year-end and we’re confident that we can achieve our 2018 target of 13.5% to 14.5%. And our confidence comes from our growth, our capital efficiencies and our opportunities to simply Voya. Let me briefly explain on each of these. First, we remain confident because of the growth that we’re generating. During the fourth quarter and full year, Retirement and Investment management generated strong net flows. Retirement has benefited from our distribution expansion and our increased productivity and Investment Management has grown in part by developing solutions for new customers. We also grew in annuities and employee benefits. Second, we remain confident because of the capital efficiencies we produced. These efficiencies have been greater than our initial plan. And finally, we remain confident because of the opportunities to simplify Voya to better serve for customers and to achieve at least $100 million in cost savings through 2018. In addition, our capital position remains strong. At the end of 2016, we had $941 million in excess capital. In the fourth quarter, we entered into $200 million discounted share repurchase agreement that we mentioned in November. This agreement priced earlier in the first quarter of 2017. We intend to utilize our remaining $633 million share repurchase authorization over the course of this year. During the fourth quarter, our hedge program continued to effectively protect our Closed Block Variable Annuity capital and the resources backing the block continued to exceed our regulatory and rating agency requirements. We completed our Fourth Enhanced Annuitization offer during the quarter to further run-off the block. In total, we’ve accelerated a cumulative run-off of $1.5 billion through four enhanced annuitization offers. In January, we launched a GMIB Enhanced Surrender Value offer. This will provide an option to those customers who may find more value in liquidity than the potential income stream of annuity. This offer period concludes at the end of March and we’ll share the results with you during our first quarter earnings call. Moving to Slide 5, we reported operating earnings per share of $0.91 for the fourth quarter. Prepayment fees and alternative investment income above a long or mid-term expectations as well as a gain associated with the Lehman Brothers bankruptcy settlement collectively increased earnings by $0.17 per share. For the full year, we reported operating earnings per share of $2.61. There were several items that on a net basis decreased earnings by $0.39 per share. Almost notable was due to a DAC/VOBA unlocking related to our annual review of actuarial assumptions on the models in the third quarter. Finally, our ROE for 2016 was 12.3%, up from 12.1% from the trailing 12 month period ended September 30. Overall, 2016 was another successful year of the transformation of our company. We improved our financial results by helping our customers plan, invest and protect their savings. Our capital position remains strong and we continue to be recognized by third parties for our high ethical standards, our commitment to generate quality and our focus on corporate responsibility for being a great place to work. I’ll now turn it over to Alain Karaoglan, who’ll give you some details on our actions. Alain Karaoglan Good morning. Let’s begin on Slide 7. In 2016, our return on equity and return on capital increased to 12.3% and 10.2% respectively. During the year, we continued to execute on our initiatives and to take actions to simply our company to create greater value for our shareholders and for our customers. On Slide 8, we have provided the underlying drivers that will enable us to improve our return on capital. Beginning with our year-end 2014 return on capital of 9.9% you could see how each component will contribute to our 2018 return on capital target 11.5% to 12.5%. We are now highlighting cost savings in a separate category since this will be a significant driver of our return on capital improvement in 2017 and in 2018. Cost savings are expected to add 90 to 100 basis points to our return on capital expansion. Capital initiatives were the biggest driver of our returns in 2015 and 2016. The full benefit of the 135 to 155 basis points would largely be reflected in our return on capital by the end of 2017. Other initiatives which include growth and margin initiatives outside of cost savings are expected to increase our return on capital by 80 to 100 basis points. This category also captures the effect of equity market returns, which have been the low levels that were anticipated in our original plan, creating a drag of 30 to 50 basis points relative to that plan. Although up since November of last year, interest rates are expected to create a headwind of the 125 to 145 basis points. This is an increase from our original expectation of 70 to 90 basis points. You will note that cost savings and capital initiatives are now the biggest drivers. Growth remains a core part of our plans and we have begun to see some benefits of our investments in achieving more profitable growth. We expect growth will accelerate once we’ve completed our strategic investment program and taken further actions to simplify our company. As outlined on Slide 9, we are making progress on our $350 million strategic investment program, as well as our efforts to simplify the organization. Most of our initiatives will be more than 50% complete by the end of 2017 with our current plans to consolidate IT platforms at 90% completion. As we shared in November, these collective efforts will enable us to achieve annual run rate cost savings of at least $100 million to be realized in 2018 and subsequent year and importantly will allow the company to continue to become more nimble. On Slide 10, we have provided an update on our 2016 growth initiatives and our expectations for 2017. I will highlight a few of these initiatives. In Retirement, we achieved an all-time high in full year net flows amidst a low rate environment and sluggish industry sales. We increased the number of our client relationships by 6% in a market that was relatively flat last year according to LIMRA. Through September 30, 2016, Voya was one of the top three companies in terms of new plan growth in plans under $500 million as measured by assets. We expect deposit growth to continue in 2017. In investment management, we expect total institutional sales which were very strong in 2016 to be slightly down to flat in 2017 as certain flows such as CLO issuances and private equity launch may not repeat at the same level. Our retail intermediary sales held up well last year, while a challenging market environment caused industry sales to be down 5% through September 30, 2016. In 2017, we expect retail intermediary sales to be flat to up 5%. Affiliated source sales increased in 2016 partly due to greater partnership between Retirement and Investment Management, as well as strong interest in our target date offerings. We plan to build on this in 2017 and expect sales to be flat to up 5%. In Annuities, our sales forecast for 2017 may be conservative. As it assumes the Department of Labor’s fiduciary rule is implemented in April. We are assessing the potential effect of last Friday’s presidential memorandum to review the rule. Let’s take a closer look at each of our businesses starting with Retirement on Slide 11. Retirement’s return on capital for 2016 was 8.8%, up slightly from 2015. We are making great strides in helping our customers achieve greater retirement outcomes. We have invested in new tools for plan sponsors and participants to have them get ready to retire better. In October, we launched the Voya Behavioral Finance Institute for Innovation. This is a new research initiative focused on gaining deeper insight in American’s financial and retirement planning activities. The institute’s work will merger behavioral science with the speed and scale of the digital world. Moving to Slide 12, in investment management, the underlying operating margin was 28.2%, down from 29.1% in 2015. The year-over-year decline largely reflects lower average asset levels during 2016, particularly during the early part of the year. We have successfully leveraged our strong investment performance to drive sales and net flows. We also have brought our investment expertise to new clients, including expanding in the insurance asset management channel. In 2016, we generated $850 million in net flow, up from $200 million in 2015 through our work with insurance companies. Growth in this channel was driven by strong interest in our US equity, mortgage derivative and private credit strategies. Moving to Slide 13, the return on capital for Annuities was 9.8%, up from 9.3% in 2015. In addition to greater distribution reach, we have significantly transformed and improved the profitability of our product line in annuities to require less capital and better meet the customer needs. For example, nearly 100% of our annuity sales are now from newly developed products with improved capital efficiency impaired with about 60% in 2015 and 40% in 2014. At the same time, we’ve been closely managing crediting rates in line with our return target. We expect the combination of our Annuities and Individual Life businesses to lead to future synergies particularly on the distribution front. Turning to Slide 14, Individual Life’s return on capital increased to 6.6% from 6.2% in 2015. During 2016, we continued to benefit from a number of actions we’ve taken to reduce capital usage and refinance redundant reserves. We completed the refinancing transaction ahead of schedule and this provided approximately 15 basis points of benefits in the fourth quarter. The annual run rate benefit continues to be 150 to 200 basis points. This will be slightly offset by higher reinsurance cost of 25 to 50 basis points in 2017 as we noted last quarter. In November, we announced our decision to seize sales of term life insurance at the end of 2016. Focusing solely on indexed universal life insurance will require less capital going forward, while enabling us to continue offering our customers a valuable protection solution. Moving to Slide 15, the return on capital for Employee Benefits was 23.3%. Our loss ratios in 2016 returned to our expected annual range after having been unusually good in 2014 and in 2015. As we look to build upon our In-Force premium growth in 2017, we also will continue to remain disciplined with our underwriting and with our pricing. We see several opportunities to continue to improve customer and distributor experiences, as well as lower unit costs by simplifying our operations. In summary, we made solid progress on the execution of our various initiatives, our strategic investment program and our actions to simplify our company. As I have noted before, our ability to achieve our plans depends in large part only on our continued commitment to execution. Now, I would turn it over to Mike to go over our financial results. Mike?
Michael Smith: Today I will discuss our financial performance for the fourth quarter and full-year 2016. On Slide 17, we highlight several key items that occurred during the quarter and other items to consider. Prepayment fees and alternative investment income were both above our long-term expectations. Both Retirement and Investment Management benefited from rising equity markets and positive net flows. In addition, Investment Management generated strong performance fees during the fourth quarter. In Retirement, plan participants continued to shift assets from variable to fixed accounts, which partially offset increased fee income and access of drag on investment spread and return on capital. In Individual Life, elevated severity affected our mortality results. In Employee Benefits, our loss ratios for full-year 2016 were in line with our expected annual range, while our quarterly loss ratios were mixed. Looking ahead to first quarter 2017, we expect $25 million of seasonal expenses for our ongoing businesses due to payroll taxes and revised upfront recognition of equity compensation for retirement eligible employees. For our Annuity segment, administrative expenses in first quarter 2017 will increase by approximately $5 million relative to first quarter 2016. This will be mostly offset by lower DAC amortization due to a reduction in the amortization rate from changing business mix. Moving away from expenses, we anticipate approximately $750 million of retirement tax-exempt market net outflows driven by merger related departure of a case with high guaranteed minimum interest rates. In Investment Management, our 2017 performance fees are expected to normalize as our full-year 2016 performance fees exceeded annual expectations by $14 million on a gross basis. In Employee Benefits, we expect our full-year 2017 loss ratios for Stop Loss to be at the higher end of our annual target range, reflecting less favorable development and business written in 2016. Finally, institutional spread products will be almost entirely run off by year end 2017 and the quarterly results are reported in corporate. The block is expected to record operating losses in 2017, primarily from corresponding deferred prepayment penalties due to the accelerated runoff. Turning to Slide 18, our quarterly retirement net flows were positive for the fifth consecutive quarter. In corporate markets, we have generated net inflows for 21 of the last 22 quarters. These net flows have exceeded $6 million over that period. Turning to Slide 19, Investment Management sourced net inflows exceeded $1.5 billion in the fourth quarter and were positive for every quarter in 2016. These results were driven by continued client demand across a broad range of our products and solutions, including fixed income, CLO, and private equity funds. These net inflows have a higher revenue yield than the variable annuity outflows, which are primarily in indexed based strategies. Variable annuity net outflows for the funds managed by Investment Management were $908 million, which were accelerated by $338 million due to our fourth enhanced annuitization offer in CBVA. Investment Management, however, retained all AUM related to this offer as the assets go into the general account. As shown on Slide 20, our annuities net flows recovered in the fourth quarter led by continued investment only inflows and a rebound in fixed indexed annuities flows. As rates rose during the quarter, we were able to increase fixed indexed annuity sales while meeting our return targets. On Slide 21, we experienced unfavorable mortality in Individual Life due to elevated severity. We have added reinsurance on larger policies to reduce severity exposure and mitigate potential underwriting volatility. The graph on the left shows that our fourth quarter actual to expected mortality ratio was 99%. This is relative to our expected mortality ratio of 90%. Moving to Slide 22, our fourth quarter loss ratio for Group Life was better than our expected annual range of 77 to 80. The loss ratio increase for Stop Loss was driven by higher claims frequency. While quarterly loss ratios can fluctuate, our full-year loss ratios were in line with our expected annual range. As Slide 23 shows, our Closed Block Variable Annuity hedge program continues to focus on protecting regulatory and rating agency capital and is performing as designed. During the quarter, the hedges offset the changes in reserves. We had estimated available resources of 5 billion, which are entirely supported by hard assets and statutory reserves of $4.5 billion at the end of the fourth quarter. The change in values from third quarter was largely driven by higher interest rates. The annualized net outflow rate in this Closed Block was 16.3%, which included a 6.8% benefit from our fourth enhanced annuitization offer. Also during the quarter, we had two items affecting the GAAP results. First, a non-performance risk loss reflecting credit spreads tightening and second, a loss recognition event, which led to a write-down of deferred acquisition cost, driven by higher interest rates, which actually benefit the block from an economic perspective and an increase in GAAP payout reserves. These GAAP items did not affect our regulatory or rating agency capital position. Turning to taxes, we are paying close attention to potential changes to corporate tax policy. While the new administration has not revealed reform specifics, we can comment on directional impacts. In a hypothetical scenario in which corporate tax rates fall to 20% without renewal of the dividends received deduction, we would expect our tax rate for operating earnings to be 20%, all else being equal. As a reminder, our current operating earnings tax rate of 32% reflects only one-third of our dividend received deduction benefit as derived from our ongoing businesses. The remaining two-thirds of the benefit accrues to our Closed Block Variable Annuity segment, the potential value which is reflected by the separate NPV chart on the bottom right of the slide. With respect to the net present value of the projected cash tax savings from our deferred tax assets, our new estimate is approximately $1.6 billion as of year-end 2016. This is up slightly from last year primarily due to additional hedge losses from higher rates and the impact of our Individual Life redundant reserve refinancing. On Slide 25, you can see that our regulatory and financial leverage ratios are strong and remain better than our targets. The RBC ratio increased to 493% at the end of December, mainly driven by statutory net income. On the right side of the slide, our debt to capital ratio as of the end of the fourth quarter was 24.4%, reflecting lower retained earnings. On Slide 26, our capital position is strong. Holding company liquidity stood at $463 million at the end of the fourth quarter. The middle chart shows our excess capital at $941 million, which consists of estimated statutory surplus and holding company liquidity above target. We expect to upstream most of the estimated statutory surplus to our holding company in the second quarter. We have over $600 million available for share repurchases through year-end 2017 after funding a $200 million discounted share repurchase program in the fourth quarter. The transaction priced in the first quarter. In summary, we continue to take proactive steps to improve ROE and focus on cost management. We have a strong balance sheet and significant excess capital. In our Closed Block Variable Annuity hedges continue to protect regulatory and rating agency capital, as we pursue additional de-risking measures. With that, I will turn the call back to the operator Rocco, so that we can take your questions.
Operator: Thank you very much. We will now begin the question-and-answer session. [Operator Instructions] As a reminder, participants are limited to one question and one follow-up. At this time, we will pause momentarily to assemble our roster. Today’s first question comes from Ryan Krueger of KBW. Please go ahead.
Ryan Krueger: Hi, thanks. Good morning. My first question was on the 2018 ROC target of 11.5 to 12.5 the slide mentions by the end of 2018, I just wanted to clarify, I guess, is that a distinction from the prior guidance I think which is just for full-year 2018?
Alain Karaoglan: Yes Ryan, thank you for the question and the clarification yes, it is full year 2018.
Ryan Krueger: Okay. So it is full year.
Alain Karaoglan: Yes.
Ryan Krueger: Got it, okay. And then on CBVA, the amount of statutory resources in excess of the reserves declined by about 500 million in the quarter. Is it fair to say that, you would expect generally to have resources in excess of reserves when interest rate rise because the economics are more sensitive, the interest rates and the actual statutory reserve moves that we should expect generally, a greater gap between the two and rate their low and smaller gap when rates are high.
Michael Smith: Ryan, this is Mike, good morning and thanks for the question. I think generally that - you are thinking of it the right way. Just to give it some perspective, the reserves at the end of the third quarter were 5.3 - yeah, reserves were 5.3, resources were 6.3 and we dropped to reserves of 4.5 and 5 as of the end of the fourth quarter. The way to think about that is, really in three buckets, right there is the liabilities, there is the hedge and then there is underlying assets. The change in liabilities is generally offset by the change in the hedge as you can see on the slide. And then the value of the assets is adjusted as interest rates move up and down as those are mark to market and that example. And so that lead to the decline in the margin. More importantly we are focused on managing through the CTE 95 level and as we said we are more sufficient at CTE 95.
Ryan Krueger: Thanks, I guess in the last quarter I think you said, you were at CTE 98, is that where you are now?
Michael Smith: We did say that and we are still sufficient at CTE 98, but we do not target that and there will be quarters where we fall above and or below that level. We are comfortable at CTE 95, it is consistent with our ratings and that served as well thus far.
Operator: And our next question today, comes from Erik Bass of Autonomous Research. Please go ahead.
Erik Bass: Hi, thank you. I had a question for retirement and how quickly should we start to see spreads benefit from the rise interest rates and how much further would rates need to rise to offset the headwinds from spread compression?
Rodney Martin: Charley will take that Erik.
Charles Nelson: Good morning and thank you. Our forecast and plan assumes the forward curve essential at year ends. So it has embedded in it some of the rising rates. Rising rates and spreads certainly impacting relative to the duration of the portfolio and the time and the amount that those any rising rates would come in. And we got to balance that with our crediting rates, once their crediting rates potentially get above a guaranteed minimum interest rate. So kind of ensure all things being equal, rising rates above the forecast is going to be good. How impactful depends on so many factors that it is tough to provide some specific guidance on that relative to an increase. Relative to overall in terms of how we think about it, we are going to continue to manage our general account liabilities with agility to balance, I think in relative to the overall market, environmental and our business metrics, so just kind of thinking about it in total, difficult to forecast, but certainly in total a good thing if it gets above our forecast.
Erik Bass: Got it, and I mean is there a rate to think about where kind of the drag would disappear and how some companies have talked about kind of a 10 year treasury rate of 3% or higher would eliminate the drag on spread compression is there sort of short hand way to think about that for you?
Charles Nelson: So maybe just to give you some context on the overall impact on rate - on the company, the original plan we had in expectation of interest rate headwind of 70 basis points to 90 basis points. And today what we are highlighting gets 125 basis points to 145 basis points during the period. What has happened obviously during 2015 and 2016, we have been investing in the slower rate environment and that if you don’t make up until the duration of your assets mature. So what we have done in order to upset that impact of interest rate, what you have seen is focused on cost savings and capital initiative to offset the impact and despite the headwinds of the interest rates and the equity market as I mentioned will cost us close to 50 basis points because equity markets having depreciated as much as our plan. We expect to still achieve the original plan of return on capital of 11.5% to 12.5% or an ROE of 13.5% to 14.5%. And Mike maybe you want to talk about the portfolio yield versus new rate and where does it stand today and that may give you some additional perspective.
Michael Smith: Yeah, I think the other way to think about this is the degree of erosion in the portfolio rate as we put new money to work and that continues along as the new money rate is below the overall portfolio yield right now. We are putting new money to work at around 4% give or take. The portfolio rates vary from business to business plus think of that as a high force. So we need spreads to widen a bit and or the treasury to go up in order to get to the place where we are at about neutral position. You think about it in those terms that's to the extend others are guiding around 3 but that’s probably not bad benchmark but it is not quite that easy, you got to think about spread too.
Erik Bass: Perfect, that’s helpful. And just one quick clarification, on the 25 million of seasonal expenses in the first quarter, is that 25 million of higher than previously expected expenses or you just alluding to the typical seasonal pattern with higher expense in the first quarter.
Michael Smith: Yeah, thanks for giving the chance to clarify, that’s versus 4Q. It is an increase relative to 4Q, typical seasonal pattern.
Operator: And our next question today, comes from Suneet Kamath of Citi. Please go ahead.
Suneet Kamath: Thanks, good morning. I wanted to go back to page 8, where you provide that walk through, that’s right, that ROC walk, so if like at this slide that you gave us at the investor day, couple of years ago and it looks like that growth bucket that used to call out was 150 basis points to 180 basis points of improvement. And now it seems like cost savings are higher, capital is higher and there is other bucket which I'm assuming encapsulates the growth is lower. So maybe you could just tell us what is going on in terms of the differences in that bucket in particular?
Alain Karaoglan: Thank you ,Suneet. In that bucket it relates to the comments that I just made earlier, the level of interest rates being lower than what we had expected in the plan. So what does that mean, as you know we are very disciplined for example in our fixed index annuities and therefore as interest rate decline we will lower our credit rate and adjust our cap rate to reflect the spreads that we can earn the same is true and interest rates go up, so some of the growth opportunities within the annuities business have moderated from our original plan. The equity market return is in that bucket as well and that’s going to cost us as I mentioned, 30 to 50 basis points, of return on capital. So when you think about the growth opportunities the lower macro environment is affecting it meaningfully and especially since now we've had two years that have past, the macro environment out of the four year that has been below that. The other thing that I want to emphasis is how we adapt to these environments. Right we are not a victim of that environment, this environment change, we have adapted, we have adjusted our plan, we are going to achieve the same expected returns that we expected at that time. That’s what we are really trying to do with organization overall. We are simplifying our IT infrastructures. We are digitizing our processes. We are - and that’s going to allow us to be more nimble and going forward to even be more adaptable in order for us to adjust to any changes in the environment from whatever it may come from and that’s true overall and for each of our businesses.
Suneet Kamath: I got it, but I guess the annuity business is already sort of at your target, so is any of the slowdown in growth affecting the retirement business?
Charles Nelson: Absolutely, some of that is effecting the growth and the retirement business, some of that growth affects obviously both the retirement business and investment management business on the equity portion of that.
Suneet Kamath: Okay got it. And then my follow up is just on the capital. Looks like the gap between your excess capital of 941 in your current share repurchase authorization and 633 million is pretty big and you had mentioned that you plan on spending most of that 941 I guess up to the holding company, so any thoughts on the pace of buyback. I know you like to be pretty consistent quarter in and quarter out, but just given how strong the excess capital is and any thought to increasing the pace of share repurchases?
Rodney Martin: Suneet, it’s Rod. Thanks for the observation and in fact with the comment that we have been consistent. You may refer to it regularly and I think we are good stewards of capital. The way for example we have returned $2.9 billion since we’ve been a public company in share buybacks and we are going to continue that philosophy. So we go into the year, we feel very good about the financial position and you will see as we use good judgment as the year unfolds, there is a lot in play as we got into the year with new administration. We are cautiously optimistic as a result of what we are hearing, but we are listening and learning as go and I really would underscore the point that Alain made. We I think have demonstrated great agility in responding to the environment that we have presented and that’s why we feel so good about the balance of our plan through 17 and 18 and you will see that reflected in our share buyback activity in addition to all the other decision we are making. I just would add one another element to what I want to point out, certainly the equity markets as you said over the last few years have affected our retirement business and investment management. But if you look at the net inflows that we had in the full year of 2016 as well as good management we've done in our index products in terms of flows. We feel very good about how that is voting well, in terms of raw distribution platform versus the economy continues to improve. Mike anything you would add.
Suneet Kamath: Okay, thanks guys.
Operator: And our next question comes from Jimmy Bhullar of JP Morgan. Please go ahead.
Jimmy Bhullar: Hi, good morning. So first I had a question on just the medical stop loss business. You had obviously very strong earnings and better than expected generally over the last few years. So if you just talk about what is causing you to be a little bit less optimistic and what is causing your view of margins to be lower than what they had been before and is it pricing more or loss experience or competition and then also comment on how trends were in the market, both in stop loss and just employee benefits in general as you went through the lower season for this year.
Alain Karaoglan: Thank you Jimmy, as you noted we have had truly spectacular results in our employee benefits business and in particular in stop loss and that’s reflected in the loss ratios and the return on capital that we have been achieving in their businesses. And we have been pointing since 2014 and 2015, that these were great earning but we expected the loss ratio to get in line with our expected targets because this is where we are pricing the business and this is what we expect the environment to lead to. The fact that, our profitability is better also our competitors are profitability was better during the year and the clients also are seeing that profitability that is better and is normal for to adjust pricing to reflect the loss ratios that are better than anybody expected. So essentially, the business had some cyclicality, you are seeing that reflected in 2014, 2015 and 2016 is getting back to within our target range and that’s what we are expecting in 2017 to be at the high end of our target range. What we will do, what we ensure doing, we are going to remain discipline on our underwriting, on our pricing and if the market gets too competitive, if the market is less attractive, we are going to be willing to shrink business.
Jimmy Bhullar: And just on your slide on the macro headwind from rates in the equity market, how much of that is really the equity market versus rates because the markets actually has been fairly good for the last several years I think three of the last four have been over 10% total return in the market, 2015 was the only sort of weak year, so how much of that is really or is the market done worse than your assumption as well?
Alain Karaoglan: As on slide 8, you could see the headwind from interest rate which is 125 basis points to 145 basis points of return on capital. While the equity markets have increased they haven’t increased in line with expectations of 7.5% that we had at the beginning of 2015 and that lower than expected appreciation cost us 30 basis points to 50 basis points by 2018. Obviously some of it will depend as to what happen in 2017, 2018. So if beginning of 2018, the asset level goes back to where the plan was originally then that will help overcome some of that. So that have affected.
Jimmy Bhullar: But I just want to understand, because the market was up more than that, are you talking about your own performance within your funds, or just average daily balances or what is it that you are referring to?
Alain Karaoglan: We had expectation of market appreciation from 2014 to today. And the market actually has not appreciated as much as our assumption of 7.5% that we had laid out at the time of the investor day.
Jimmy Bhullar: Got it, thank you.
Operator: And our next question today comes from Yaron Kinar of Deutsche Bank. Please go ahead.
Yaron Kinar: Thank you very much. I actually want to maybe continue on this last question’s path, so if I look at the interest impact and equity market impact, all-in you get to kind of 150 to 200 basis points drag growth relative to the investor day expectations. I think last quarter you talk about roughly 140 basis points drag. So just given the move we have seen in the market and equity rates, and interest rates this last quarter, I am just surprised to see that headwind has increased by that much over quarter.
Alain Karaoglan: Yaron, thank you for the question, the 140 basis points last quarter was additional drag. It was not absolute drag, so what we are showing here is the absolute drag. So what we talked about it was 140 on top of what we had expected.
Yaron Kinar: Okay, that’s helpful and then with regards to CBVA and CTE 95, CTE 98, I think last quarter you talked about roughly $400 million buffer above CTE 95, is it fair to think that as interest rates rise, you don’t need the dollar amount to get the CTE 98 buffer shrinks.
Michael Smith: Yaron, this is Mike. I think the short answer is it will come in a little bit but it won't be the major effect will be the overall reduction in CTE 95. Certainly rates going up are a great thing for the block and will ultimately lead to a better result in terms of outgoing cash flow and so on. So I think that’s a good thing, the gap between CTE 95 and 98 will largely be driven more by time affect. As the block shrinks as the amount of CTE 95 itself shrinks then I think you can think of it as a proportional reduction. So the dollars will go down but the relatively will be probably about the same.
Yaron Kinar: Got it, that’s very helpful, thank you.
Operator: And our next question today comes from Seth Weiss of Bank of America. Please go ahead.
Seth Weiss: Hi, good morning. Could you update us on the statutory capital that is currently back in the close block constitutional spread business?
Michael Smith: Seth, we will have to get back to you on that, I don’t have that number right at hand but we will look it up. I don’t think it is a large number but we will get that for you.
Seth Weiss: Okay, thank you and if you look at the sensitivities to regulatory capital on page 23, at the bottom side there of the chart. Those have changed good deal especially the equity market sensitivity since what you presented last quarter, no markets have changed but could you just help us think through what that change means and you know from an economic perspective versus regulatory capital perspective how to use this disclosure?
Michael Smith: I think as markets evolve and as the degree of moneyness changes you are going to see some shifting in this and that will be one effect. The second will be the relative amount of hedging that we've got in place. We did make a modest increase in our interest rate hedges during the quarter. So that’s part of the impact that you may see on the interest rate exposure. But I think the main way to think about this is that as markets move there’ll be this instantaneous change in the relative capital levels, but as equity markets go up, as interest rates improve, the overall value of the business is improving. And I think - so to the extent we’re thinking in terms of a broad economics. I think you might think about it in that way and the point of this disclosure is just give you a sense of instantaneous shocks, but it wouldn’t - the economics are probably more in line with the - you can think of some of the cash flow disclosure we’ve given is giving an indication of that and the overall level of CTE 95 and reserves and as that goes down, that’s a good way to understand the economics. We have the number, back on your first question, it’s –the ISP is about a little under $500 million.
Seth Weiss: Okay, thanks a lot. So just to the second question in terms of the asymmetry here on regulatory capital and interest rate moves, negative move kind of boosting the immediate impact. That sustained dynamics going back to Ryan Krueger’s question in terms of looking at the gap between available resources and stat reserves, is that right? I just want to make sure I’m thinking about kind of the economics and the accounting on the right frame of mind here.
Alain Karaoglan: Seth, I’m sorry. We just had some difficulty there. Could you repeat that question? Thank you.
Seth Weiss: Yeah, just in terms of when you look at the immediate impact of regulatory capital where interest rates falling causes a boost up in regulatory capital, but you don’t get the counter effect. That goes back to Ryan Krueger’s question in terms of the gap we see between available statuary resources and statuary reserves, is that right?
Michael Smith: So what you’re seeing and if rates go down in the statuary cap - in the regulatory capital, that’s purely a benefit of the hedging position, right and I think the difference between the sensitivities there.
Seth Weiss: I’ll take it offline from there, but that’s helpful. Thanks a lot.
Operator: And our next question comes from Sean Dargan of Wells Fargo Securities. Please go ahead.
Sean Dargan: Yeah, thanks. Good morning. I just was wondering if you could give us an update on any potential CBVA solutions with the rise in the tenure, since the last time you talked about it. Just wondering if there’s any change in the willingness of potential counter parties to do a partial or a complete transaction?
Rodney Martin: Good morning, it’s Rod Martin. Certainly the rise in interest rates is a very good thing for customers from Voya and frankly for the optionality associated with this and that continued rise will help. We continue to be very open to a range of conversations associated with this and as you would expect, we’re not going to comment as we’re going through that journey. We are encouraged about the direction of interest rates, we’ve said repeatedly interest rates on this book matter, we certainly experienced that with you in the context that what we went through in 2016. So if you think about something that’s 3% or better, we think that creates a good bit more optionality and potential interest in part or potentially in full for the market and we will keep you posted.
Sean Dargan: Okay, thank you and then if I can just ask a question about the below the line losses associated with the fixed index annuity product. The way I understood the basic risk in hedging that product was being under hedged in a strongly rising equity market. Can you just explain the mechanics of what happened in the quarter?
Michael Smith: Sure, I don’t think we would describe it has under hedged. I think the difference here is really one of timing and accounting. The way we hedged this business is we buy instruments for the guaranteed period that has been set, so every year we reset the cap rates, we reset participation rates and we buy instruments to offset that. So that’s the - there are usually one year instruments and so the change in the value of those instruments is accordingly driven by that. The liability however requires us to project forward what crediting rates will be and discount that over the lifetime of the contract. And so it basically creates a mismatch that will work its way out overtime and in the end it settles out, but it’s just a timing differential, it’s not an economic exposure or concern.
Sean Dargan: Okay, thank you.
Operator: And this concludes our question-and-answer session. I’d like to turn the conference back over to Rod Martin for any closing remarks.
Michael Smith: This is Mike, just one correction. There was a miscommunication in our end, so the answer to the question earlier about the amount of capital related to the ISP, the liabilities are just under 500, the capital is about 20 million. So apologies for that missed stuff. Thank you.
Rodney Martin: As we look ahead to 2017, we’re focused on continuing to execute our plans, manage what we can control and achieve our financial targets. We’ve strong businesses, clear objectives and a commitment to take actions that will benefit both our shareholders and our customers. We look forward to continuing to share our progress with you. Thank you and good day.
Operator: And thank you sir. Today’s conference has now concluded and we thank you all for attending today’s presentation. You may now disconnect your lines and have a great day.